Executives: Daniel Fairclough - Director of Investor Relations London Lakshmi Niwas Mittal - Chairman, Chief Executive Officer, President, Managing Director of Operations and Member of Group Management Board Aditya Mittal - Group Chief Financial Officer, Principal Accounting Officer and Member of Group Management Board Peter G. J. Kukielski - Chief Executive of Mining and Member of Management Board Gonzalo Pedro Urquijo Fernandez de Araoz - Member of the Group Management Board Louis L. Schorsch - Executive Vice President, Member of Group Management Board, Chief Executive Officer of Flat Products - Americas and President of Flat Products - Americas Michel Alphonse Léon Wurth - Member of the Group Management Board
Analysts: Alexander Haissl - Morgan Stanley, Research Division Luc Pez - Exane BNP Paribas, Research Division Bastian Synagowitz - Deutsche Bank AG, Research Division Michael Shillaker - Crédit Suisse AG, Research Division Jeffrey R. Largey - Macquarie Research Cedar Barnes - BofA Merrill Lynch, Research Division Carsten Riek - UBS Investment Bank, Research Division Alessandro Abate - JP Morgan Chase & Co, Research Division Carly Mattson - Goldman Sachs Group Inc., Research Division Neil Sampat - Nomura Securities Co. Ltd., Research Division Alexander Hauenstein - MainFirst Bank AG, Research Division Tim Cahill - Davy, Research Division Rochus Brauneiser - Kepler Capital Markets, Research Division
Daniel Fairclough: Okay, good afternoon, everybody, and thank you for joining ArcelorMittal's Q3 Results Conference Call. I'd like to first inform you that this conference call is being recorded today. We will have a brief presentation, followed by a Q&A session, which in total should last about 1 hour. [Operator Instructions] So with that, I will hand over to Mr. Mittal.
Lakshmi Niwas Mittal: Thank you. Good day to everyone, and welcome to ArcelorMittal's Third Quarter 2012 Results Call. I'm joined on this call today by all the members of the group management board. Before I begin the presentation, I would like to make a few introductory remarks. Market conditions remain challenging. The ongoing European sovereign debt situation, the threat of a fiscal cliff in the U.S. and a slower growth in China have all impacted demand. This was further impacted by the deterioration in the iron ore price in August, which came as a surprise to everyone. Nevertheless, global economic leading indicators appear to be bottoming, while I am optimistic the worst is behind us. The focus of the company remains on improving efficiency, cutting costs and reducing debt while start sacrificing the high-return growth projects we have in our portfolio. My confidence in this trends of our business and our people is of great comfort as we navigate the challenging market conditions. Moving to the agenda on Slide 2. As usual, I will begin today's presentation with a brief overview of our results for the third quarter 2012. I will then spend some time on the outlook for our markets before I hand over to Aditya to go through the results and our guidance in more detail. Turning to Slide 3, I will start with safety. ArcelorMittal's health and safety performance in the third quarter of 2012 declined with a lost time injury frequency rate of 1x, as compared to 0.8x in the second quarter of 2012. Nine months into the year, and our overall health and safety performance is in line with our target and show good improvement when compared to the rate of 1.4x of 2011. We will continue our efforts to keep our group LTIF rate below 1x. Working on continuous improvement and the ultimate objective of 0 harm. Despite the increasing recent performance in lost time injury frequency rate, there is still more work to be done. In particular, improving the safety performance of the contractors who work at our sites. Let me reiterate that I expect ArcelorMittal to make continued progress in our safety performance as we strive to be the safest metals and mining company in the world. Turning to our third quarter 2012 performance shown on Slide #4. The group reported EBITDA of $1.3 billion in the third quarter. This included a one-off negative impact relating to the new agreement with our U.S. employees. Ignoring the one-time impacts, the decline in third quarter 2012 was 33% below the second quarter. This decline in profitability was due to 2 factors. Firstly, steel shipments were late, wherein 3% lower due to seasonal factors and weaker market demand. Secondly, the iron ore price was around $25, turned lower, which had a clear impact on the profitability of our Mining segment. During the quarter, net debt increased by $1.2 billion, driven by negative operating cash flow, a seasonal increase in working capital and negative foreign exchange impacts. I expect this to reverse in the fourth quarter. From a liquidity perspective, we remain in a good position. We have $13.4 billion of liquidity, our credit lines are undrawn and our debt has an average maturity of over 6 years. We regretfully announce a cut to the dividend for next year. The board recommends making a single payment of $0.20 per share in 2013, assuming this proposal is approved in the next Annual General Meeting in May, and this dividend will be paid in July 2013. Once the deleveraging plan is complete, the market conditions improve, the board intends to positively increase the dividend. Moving to the next slide, these are the ongoing initiatives towards the 2 priorities that we and the management team are focused on: Deleveraging and cost competitiveness. In terms of cost reductions, the group has a strong track record of delivering efficiency gains. I'm pleased to report that we have achieved our $4.8 billion management gains plan slightly ahead of schedule. I will talk, too, through this in more detail on the next slide. We have also made good progress on our assets optimization process. This process is advancing as planned, and will generate $1 billion of savings on an annualized basis. During the most recent quarter, we have grown the liquid phase of Liege and announced our intention to launch a project to permanently close the liquid phase at Florange. Moving to the deleveraging priority, we continue to target an investment grade credit rating. We have a plan, which is sufficient to get our net debt to where it needs to be on a sustainable basis. Although we have not announced any further sales over the past 3 months, I can assure you that the plan remains on track, and we expect to make progress in the coming months. Conserving cash is a focus of our company. As a result of the challenging economic conditions and a priority to deleverage, the board had determined a dividend cut is necessary, and this will save $850 million of cash in 2013. Besides from the dividend, we are also focused on optimizing our CapEx budgets. CapEx should be materially lower in 2013 compared to $4.5 million planned spend for 2012. We are focused on achieving savings without impacting our growth targets. We will be in a position to give more detailed guidance on CapEx with the full year results in February. Now moving to Slide 6 and the subject of management gains, which is what we call our cost-saving program. As I had mentioned, we have now achieved $4.8 billion management gains, our target that was set back in 2008. I think this is a good time to review what's been done and how it impacts the group. Since 2008 the group has removed $3.4 billion of fixed costs from the system and improved variable costs by $1.4 billion. It is important to reiterate that this is a monetary [ph] introduction. The main sources of gains under this program have included: Firstly, a continued improvement in operating practices; second, we have reduced headcount through volunteer retirement plans, natural attrition and targeted rationalization; third, we have reduced energy consumption through internal benchmarking and key instruments -- key investments; and finally, we have achieved a significant [indiscernible] improvement through specific investment and application of internal aspects. This is all about sustained cost competitive. And if you look at our fixed cost portent today, they are below where they were in 2008, despite significantly lower volumes and inflation. So as volumes come back, we will have significant operating leverage. I will now talk about the market outlook. Apparent demand on a global basis has barely increased over the first 9 months of the year. But the reality is that the global demand in third quarter was 3% below second quarter level and just 0.4% above year-ago levels. During third quarter demand, decline -- between third quarter, demand declined in all of the key markets. In China, this talking led to a 1.3% decline in demand, despite industrial production still growing at a healthy rate. In Europe, there was a decline of 11.9% due to seasonal demand patterns and weakening economics. In the U.S., after some restocking in second quarter, demand fell by almost 5% in third quarter. As I stated at the start of this call, important conditions in third quarters are very challenging. Moving to Slide 9, while we have not seen any improvement in operating conditions, most of them are, I can say that they are not diluted further. While I am optimistic that the worst is behind us, outlook is nonetheless risky and uncertain. The chart of this slide shows leading indicators have turned up in the last few months. If this momentum is maintained, then I think we can look more optimistically to the near-term future, within our potential risk, Europe, U.S. and China. In the U.S., the key driver has been automotive, and that remains strong. PMI readings are above 50, and consumer confidence is high. The risk in the U.S. remains the potential fiscal cliff at year end, with the next few months likely to shift outlook for 2013. In Europe, we have seen a mild uptick in sentiment and destocking has ended. Manufacturing has stabilized at a low level. My expectation is that activity will remain subdued, but I am also wary of downside risk should a country be forced to exit the Eurozone. In China, we are in an important juncture. After quite an abrupt slowdown over the past 6 quarters, leading indicators have started to improve again and both investment and manufacturing are stronger. Leadership transitions should lead to a pick up a demand from infrastructure and other investment. However, with employment and inflation at acceptable levels, it is unlikely that significant additional [indiscernible] projects will be forthcoming in the short-term. Moving to construction and markets. The good news is that there has been uptick in residential construction in the U.S. Home sales have improved and permits are increasing. While this is good news for the economy and consumer confidence, it is not a big driver of steel demand. Non- residential construction has been weakening. But the recovery in the EBI since June to a level now above 50 suggests an improvement in demand around the corner. We still expect construction activity to be a key steel demand driver in the U.S. during 2013 and 2014, but it will be a slow recovery. In Europe, the overall situation shows no improvement. Although German construction continues to grow, markets in the South continue to decline, with Spain, Greece and Portugal expected down around 10% in 2012 versus 2011. Moving to Slide 11 on China. Recent details in China has shown some early signs of a pick up. Industrial output and investment growth increased in September. Sentiment has improved as the government is enacting stimulus measures aimed at stabilizing output and supporting investment, particularly infrastructure. Overall investment growth has already started to slowly increase, helped by the rising loan growth and the renewed focus on infrastructure spending. Railway investment continues to rise strongly, distracting the recent capital induction by the government. Controls on private real estate remain in place and newly started construction is down compared to year-ago levels. We expect these controls to remain in place. Residential transactions have picked up from the low levels at the start of this year. This has reduced developments in inventories, which means new property starts should improve next year. We expect GDP growth this year of about 7.6% with the steel demand growth forecast at only 2 -- between 2% and 2.5%. This projected low steel growth rate is due to slower real demand growth, but also a significant [indiscernible] division of steel production in 2011 in China. Now moving to the global inventory situation, which is shown on Slide 12. You can see from this chart of that on an absolute basis, inventories have been declining during second quarter and third quarter in all major markets. In Europe, inventories are low and there may be some restocking potential. In the U.S, the inventory situation is more full. At Brazil, you can see from the chart, that the inventory situation has improved significantly compared to where it was a couple of years ago. Finally in China, inventories at the traders have declined significantly since February. The normal seasonal pattern would now suggest room for a restock. Steel inventories at the producing mills remain at high levels, and also started to decline over the past couple of months, following adjustments to output since July. So overall, I would characterize the current global inventory picture as supportive. To summarize with an update on our apparent steel consumption forecast for 2012. We have cut our forecast for Europe and China. The ongoing recession in Europe means that demand is likely to decline by 8% this year. This would mean that apparent steel consumption in Europe 2012 would be over 25%, below pre-crisis levels. In China, we have brought our forecast down to include now between 2% and 2.5%. Our forecasts elsewhere are largely unchanged. Our global forecast is now for a growth of 2% in 2012. 2013 will be similar or maybe slightly better than this, but we will update you on this forecast on the full year results. Finally, to touch on raw materials and steel prices. It is fair to say that the decline in iron ore prices to less than $90 per ton in August came as a surprise. It was a surprise to everyone, as the belief was that there was a structural support level based on the cost curve of domestic production in China. But I think that cost support is now evident. Production of iron ore in China has declined, perhaps by as much as 1/3. The pickup in buying activity has brought the iron ore price back to $120, which I believe to be a justifiable level. With coking coal stabilizing and scrap no longer falling, steel bars have the signal that costs are more likely to rise than fall. In terms of steel prices, the third quarter was quite volatile. Prices, including July, led to reversed [indiscernible] and scrap decline in United States. In China, slowing demand, and in particular, destocking, led to a second price fall in July. But since late September, the adjusted price in China has increased by $100 per ton. This is an increase of more than 15%, and has gone a long way in closing the differential with U.S. pricing. So on that note, I will now hand the call over to Aditya who will discuss the financial results and guidance in more; detail.
Aditya Mittal: Thank you, good morning and good afternoon, everyone. I'm on Slide 16 where we can see the EBITDA bridge to explain the decrease in group EBITDA from $2.4 billion in 2Q to $1.3 billion in the third quarter. The second quarter EBITDA of $2.4 billion included a positive gain of $339 million on the divestment of Skyline and a Q3 EBITDA of $1.336 billion includes the negative $72 million one-time impact from the new U.S. labor agreement. If we strip out these effects, EBITDA decreased by 33% in the third quarter versus the second quarter. As you heard earlier, the key drivers behind this decline in EBITDA are lower steel volumes and iron ore prices. Seasonal factors in Europe, combined with destocking in major markets, as well as a deterioration in end markets led to an 8% decline in steel shipments from the second quarter to the third quarter. This represents a negative $465 million EBITDA impact for the quarter, clearly the most significant negative impact in the third quarter compared to the second quarter. Although steel prices also declined in Q3, this effect was largely offset by lower raw material costs, the price cost effect was not significant in steel. Where prices did have an effect was in the results of our Mining segment. This year, iron ore averaged less than $115 compared to $140 in Q2, which had a negative $105 million impact on EBITDA. If we turn to Slide 17, we will focus on the chart in the upper half of the slide, which shows 3Q 2012 results. Comparative figures are there for the previous quarter in the lower half. I will point out the key differences below the EBITDA line. During the third quarter, we booked impairment charges of $130 million, primarily related to the intention to launch a project to permanently close the liquid phase at Florange, and we also booked restructuring charges of another $98 million related to costs associated with the closure of Liege. As a result, the operating loss of the third quarter was negative $49 million. If we strip out the impact of the restructuring and impairment charges, the company would have booked an operating income of 0.2, and if we add back the one-time impact of the U.S. labor contract, clearly, operating income would be almost 0.28. Loss from equity method investments and other income in the third quarter was a $55 million, as compared to income of $121 million in the second quarter. The main driver of this reversal is declining results from our Chinese investees, Hunan Valin and China Oriental, as well as lower dividend income from our JV partners. Foreign exchange and other finance costs were negative $103 million for the third quarter as compared to cost of $32 million for 2Q. Also in the second quarter, we had a tax income of $219 million and in the third quarter, we had expenses of $43 million. As a result of all these factors, we reported a net loss of $0.7 billion, compared to $1 billion net income in the second quarter of 2012. Next, we turn to Slide 18 and the waterfall taking us from EBITDA to free cash flow. Cash flow used by operating activities for the third quarter included a $0.3 billion investment in operating working capital, primarily resulting from a seasonal buildup of inventory. Flotation days increased to 72 days during the third quarter from 61 days in 2Q, primarily driven by this inventory buildup. Next, financial costs, tax expenses and others of $1.4 billion, includes additional payments for employee benefits, mainly in the U.S, and reversal of DDH income. Cash flow from operations as a result was a negative at $0.3 billion, and with CapEx at $1.2 billion with negative free cash flow for the quarter of $1.6 billion. Finally, on Slide 19, we show a bridge for the change in our net debt. In principle, consumer of cash during the quarter was the negative free cash flow of $1.6 billion I just discussed. Depreciation of the dollar increased the value of our euro denominated debt by $0.1 billion and we had a further $0.3 billion of dividend payments. These effects were partly offset by M&A proceeds, an issuance of $650 million of subordinated perpetual securities, $642 million on the slide, net of expenses. As a result, our net debt temporarily increased by $1.2 billion to $23.2 billion. Turning to the outlook and guidance slide on Page 21. Back in July when we set the guidance framework, it was a based on stable operating conditions, including an expectation that iron ore would remain in the $125, $135 per ton range. The drop in iron ore below $90 in August was surprising. And compounded the impact of a weaker macro backdrop on profitability. We now expect fiscal year 2012 EBITDA to be approximately $7 billion. The group is focused on conserving cash and we're looking at CapEx budgets closely as you heard earlier. As a result, CapEx will be approximately $4.5 billion for this year and meaningfully lower in 2013. This will not impact the expansion at our Canadian facilities, which remains on track to ramp up to 24 million tons of ore during the first half of 2013. As you heard earlier as well, net debt reduction remains a priority for the group. Increase during Q3 is temporary, and I expect net debt to return to the $22 billion level by year-end. This excludes any potential impact from asset divestments. So to conclude, it is clear that the level of profitability in Q3, and indeed, Q4 is disappointing. It reflects the set of very challenging operating conditions, which we believe will mark the low point in the cycle. And we cannot bank on our recovery. So the company remains focused on removing unproductive assets to reduce costs and improving efficiencies. Despite the temporary increase in net debt this quarter, our deleveraging plan remains on track, and we expect to be in a position to give you more details at the Q4 results in February. With that we'd like to open the floor to your questions. Thank you.
Daniel Fairclough: [Operator Instructions] So we will take the first question from Alex Haissl at Morgan Stanley.
Alexander Haissl - Morgan Stanley, Research Division: This is Alex at Morgan Stanley. My first question is on asset divestments. I understand that it's very difficult to comment on the individual assets. I just want to get a sense in -- with regards to your conviction, basically that you can delever wire divestments, but you need some $5 billion to stay investment grade rating. So I'm just curious to get -- what's your conviction here, and how the dividend cut at this point played a role with regards to Moody's?
Aditya Mittal: Alex, we remain confident. We believe we have a very clear and credible plan to execute in terms of divestments. We are in discussions with various parties on certain assets and we have a high level of confidence that we should succeed. As you know, in the last year, we had divested $2.7 billion in assets, and we continue to embark on that path.
Alexander Haissl - Morgan Stanley, Research Division: I mean, maybe this $2.7 billion, and it's more a question of time line, right? I mean, basically you would need to go for core assets or sell a stake core assets, because $5 billion is quite a big amount. So you also feel confident to get to this $5 million target, basically in terms of cash?
Aditya Mittal: So, Alex, as you know, we have not set out a target of net debt reduction, we intend to do that during February and March of next year, in detailing further as to where we are. What the takeaway is, or for this call should be is that number one, we believe that the bottom has been reached in terms of steel pricing, as we can see prices go up in China, as well as in the U.S. Global leading indicators assume it's still below 50 are now trending upwards. So we believe that risks remain in the system, but overall, the economic situation, assuming the risk on material actually improve in 2013, we should help our business. Number 2, we continue to make progress on Asset Optimization Programs. We have not received the full benefit of that, that should occur in 2013 as these assets close. We continue to make progress in expanding our iron ore business, and in the first half of 2013, we should have more tonnage from our operations in Canada. In terms of deleveraging, that remains a priority in considering the global economic situation, as well as our priority to delever. The board has taken a decision to reduce our dividend, which should save approximately $1 billion in cash next year. Furthermore, we continue to work on our divestment plans, which we believe are well advanced and should result in duly reducing our net debt.
Alexander Haissl - Morgan Stanley, Research Division: The second question I have is on the global steel market. I mean I agree that the second half this year is not reflecting a normal trading conditions because of destocking in Europe, U.S. and China. However, to me it seems it's not just a cyclical slowdown, it's really more of a structural mean reversion, and we discussed in the past some kind of a normalized profitability breakdown. How do you see the situation, now? Will you agree that we are really just going back to pre-boom years and the good years have all went, we should just look at, let me say, a normalized EBITDA, between $80 and 100 per ton, which brings group, $7 billion, $8 billion? Or you still believe, just it's a cyclic slowdown and markets will recover at some point? Just want to get your thoughts here.
Lakshmi Niwas Mittal: I think that's just, as Aditya said, that we are at the bottom of the situation, and last third quarters have been very challenging, lots of uncertainties in Europe, weakening of China's economy and leadership questions in the United States, and their fiscal policy going forward. I think as we move forward in 2013, or as we enter into 2013, I expect that things should improve, at least we will see some various marginal improvement in the demand in Europe, the margin improvement in demand in America and also in China. So I believe that 2013 will have a better economic environment with some of the uncertainty going away from the environment. We have -- as a company, we have taken -- we have started a lot of initiatives for last years and now all the programs that we launched are coming to fruition, like our mining projects in Canada, our mining projects in Liberia. Thus we have a large drawn, out of [indiscernible] cost reduction, which you have seen -- that we have achieved through our management gains. We have taken on actions to improve our cost position through our captive -- our iron ore business. All this should improve our profitability. Third, and the question is really of the economic environment, and also the question is, that how the economic environment improves and the economic environment improves based on our new footprint, based on our [indiscernible] cost estimates, and in a normal economic environment, I still believe that we should have a normal EBITDA of $150 per ton. But when the economic environment conditions are not normal, there is a pressure on the profit margins.
Daniel Fairclough: Okay, we'll take the next question from Luc Pez at Exane.
Luc Pez - Exane BNP Paribas, Research Division: Quick question, if I may, on the CapEx. I know you're not willing to commit to any CapEx guidance for 2013, but just wanting you to elaborate a bit more as to where you would see maintenance CapEx going forward? And with regards to growth options, whether you would intend to push down the road, the Liberia expansion?
Aditya Mittal: The second question, Liberia. So in terms of your questions, Luc, for maintenance CapEx, we expect it to be between $2.8 billion to $3 billion for the year. Going forward, we are examining what we can do in terms of our CapEx budget for next year. As we are embarking on our Asset Optimization Program, to some degree we have less assets to maintain. That needs to be more fully factored into our maintenance budgets -- our maintenance CapEx budgets for next year, and therefore, I expect our maintenance CapEx to be lower next year as well. I don't have an exact number at this point in time. You have to wait until our year-end results for that. And in terms of Liberia expansion, clearly, we will elaborate on that as well and where we are in terms of growth CapEx. But at this point in time, we remain committed to achieving our 84 million tons of ore production target by year-end 2015, and therefore I would expect that the Liberian project would continue.
Luc Pez - Exane BNP Paribas, Research Division: And a quick follow-up question, if I may, on the U.S. inventories. I know you described them as normal, but looking at the charts you were pointing to on the, I don't remember which slide, these seems to be pretty high, actually, by [indiscernible] standards, meaning since 2010. So if you could elaborate a bit on this and actually also on where you see your inventories at the steel mills by your position with the ad distributors?
Peter G. J. Kukielski: Yes, I think there's softening in demand in the U.S., part of that being seasonal, but I think there's also a lot of political uncertainty related immediately to the election and then following quickly on that, to the potential risk associated with, let's say, extreme circumstances of the so-called fiscal cliff. So I think we have seen people holding off from some purchases, and I think that's enabled the service center inventories to keep [ph] somewhat, but I don't think we view this as something that's cause for alarm and certainly nothing more severe than what we've seen in situations in the past. So I think this is a, to some extent, normal seasonal pattern, and also is affected by the kind of highly volatile price movements we've seen in the U.S. the last few weeks, and then finally this uncertainty. Obviously, if the worst happens on the political front, then that will have consequences for us. But I think, waiting and seeing on a...
Daniel Fairclough: We'll take the next question from Bastian at Deutsche Bank.
Bastian Synagowitz - Deutsche Bank AG, Research Division: I've got 2 questions, and my first one is on the cash flow. Aditya, in the cash flow bridge, which you have been showing from EBITDA to free cash flow, I think it was on Slide #18, we have this large position of $1.4 billion for financing cost, taxes and others. And I felt going in net debt of financing cost, Texas DDH, and also the [indiscernible] settlements after, I think that's explaining roughly half of that amount, could you please give us a bit more detail on what's in there, and maybe then I'll follow up with my second question afterwards.
Aditya Mittal: Sure. In terms of this chart, this captures everything. So interest expense, taxes, as well as other cash items. In the third quarter, other cash items, significant year results on DDH income, but the largest component was a catch up on elaborate interest. So we had various accruals and in the third quarter as we closed a contract in the U.S.,and that various employee benefit plans, and that should not occur in Q4. And as a result, in Q4, I would expect that this amount would be much less compared to what you're seeing in Q3. And as a result, we will be reducing our net debt. So this is literally accruals versus cash, more than anything. Does that answer your question?
Bastian Synagowitz - Deutsche Bank AG, Research Division: Yes, it does. If it's possible, could you give us the number for the amount which will go out in the fourth quarter, please?
Aditya Mittal: At this point in time, I don't have a specific forecast. The number would be lower directionally, significantly lower directionally, because we would not have these one-time items. But in year-end and what we are comfortable in articulating is that our net debt should come down to $22 billion, because internally we have reviewed working capital forecast and we're seeing that there is a significant working capital release that is occurring. And as a result of those factors and where we see this going directionally, we feel comfortable at $22 billion. Also recognize that in Q4, we will have the subsidiary finance, that we had done in Q2 of $300 million also reversed. That's another positive in Q4 from a net debt perspective -- cash flow perspective.
Bastian Synagowitz - Deutsche Bank AG, Research Division: Okay, perfect. And my -- the second question would be, again on your guidance on net debt. Obviously, you had targeted to I think, flat to lower net after the second quarter, depending on further divestments and the new target of $22 billion is now after raising the $650 million for the hybrid bond, which you issued. If the higher debt guidance, which is implied by this, is it just a function of the lower earnings outlook or is there anything else, which had been factored into that?
Aditya Mittal: I think primarily it's the lower earnings. I mean, as you can see, we had 3 months of what guided towards a higher level of profitability in the second half, due to the factors we discussed previously have now announced a guidance of $7 billion for 2012. And still maintained our net debt target for -- at the end of the year.
Bastian Synagowitz - Deutsche Bank AG, Research Division: And is there any number you can already give us on what would be the sustainable debt level you would really feel comfortable with, which you mentioned earlier?
Aditya Mittal: What we'd be comfortable in saying is the need to reduce it. What we have not said is how much, and by when. And I think, since we have articulated before we are in a process of divesting certain assets, we think it is not necessarily the interest of our stakeholders to articulate that target. And once we are taking those divestments. It's more beneficial for us to articulate the target. At this point in time, I do not have a specific number that I can share with you. But by our Investor Day, we should be in the position.
Daniel Fairclough: The next question from Mike Shillaker at Credit Suisse.
Michael Shillaker - Crédit Suisse AG, Research Division: I think that the question, unfortunately, is going to be balance sheet-focused again. The conditions, I guess, have weakened since Moody's published the $5 billion debt reduction target. I think they were using a $7.8 billion EBITDA. So on their metrics, that $5 billion, should be more like $7 billion. Are you in a situation where, at the moment, you're on pause in terms of debt reduction, yet the sort of target to meet their investment grade criteria is getting away from you, so you just turned around and say, "Look, we're just simply not going to do this, and naturally, important or not, we're just not make it, and therefore forget it." And I think one of the comments you put on Reuter's this morning about investment grade being preferential, but not imperative, may sort of allude to that. On the same question, can we also infer that the fact that you've highlighted today in advance that you're cutting or proposing a cut of the dividend and CapEx for next year basically suggests that, actually this -- the major debt reduction focus will actually really come into 2013 and not 2012? And my second question would be -- on asset sales, can you give us a little bit more color, in terms of the extent to which you are prepared to sell minority stakes in various assets, including potentially steel and the mining assets?
Aditya Mittal: I think you asked 4 questions, not 2. But I'll try and go through some of your questions, and hopefully we will give you enough of a response on all of them. So in terms of Moody's $7.8 billion, I don't want to get specific on exactly their ratings methodology and their calculations. But I would say that when Moody's calculate the retained cash flow, include dividends. And to the extent that we have now reduced dividends by almost $1 billion, that should help. Because that implies that cash flow is that much higher. And so to the extent that you have a lower EBITDA, but you have reduced your dividends, the cash flow is maintained. Secondly, I think from a rating agency perspective, it's important to have a very clear and credible plan. We are working on that. We expect to make progress on our asset sales. Thirdly, in terms of our statements this morning on investment grade rating, I think we remain on track to target investment grade credit rating. There is no change on that. All we said that -- is that is it is important. But also that we will not maintain it at all costs. We have to balance the interest of our -- all of our stakeholders and we will do so. The benefits of an investment rerating I think are obvious to everyone, it allows us to access different pools of capital. The cost increase of losing it is also obvious to everyone, as we said in the past, that it remains an important attribute and asset for this organization. I would not really link the CapEx and dividends to -- that the asset sales -- and I forget exactly what your remark was. I mean we're reducing CapEx because the global economic environment is more challenging, and we need to continue to delever. We're reducing dividends, both from a global macro economic perspective, as well as the deleveraging and clearly that reduction in dividend helps valuations with Moody's. In terms of asset sales, I think the focus remains to strengthen our core business. And we will continue to do that while we target a strong and credible divestment process.
Daniel Fairclough: We'll move on to the next question from Jeff Largey at Macquarie.
Jeffrey R. Largey - Macquarie Research: My first question is on the dynamic delta hedge. My understanding is that this rolls off at the end of the first quarter, and it is annualizing at something like $500 million a year. I'm just curious if the -- if this rolls off at the end of the first quarter, if the asset optimization plan and those cost savings associated are adequate to basically cover that change in the earnings profile?
Aditya Mittal: Jeff, you're absolutely right, it rolls off by Q1. We expect that the impact of both the management gains, as well as the asset optimization program will more than offset that. As you said -- as you know and as we have said previously, we have now completed the management gains, and in terms of the asset optimization, which perhaps may be more tangible next year, we are targeting $1 billion run rate of savings. The closure of Liege has been announced, has been agreed. But we don't have the full savings yet in our EBITDA. Nor of Florange, because there, the project has been launched. We still need to wait for the French government to see if there is any buyer out there for the Florange assets. To the extent that none is found, we will embark on that process and no savings will then accrue to our bottom line. And therefore, those savings are still to come, and should offset the DDH.
Jeffrey R. Largey - Macquarie Research: Okay, great. My second question is on the mining division. Obviously, we saw a bit of a drop in sequential shipments. As I look towards the fourth quarter here in your guidance on meeting the 10% year-on-year increase in shipments. I mean, should we assume that this, even though that's a material step up in shipments for the fourth quarter, that this is all achievable? I mean, I'm assuming that you kind of built stocks at Port Cartier, and that this isn't is a reach to try and meet this 10% year-on-year shipment target?
Peter G. J. Kukielski: Jeff, it's quite achievable and for 2 reasons. One, we don't of the stock necessary at Port Cartier, but there's stock at the mine. One of the two primary reasons for lower shipments in the third quarter were higher than expected rainfall in Liberia, which is now slowing down. So we'll ramp up shipments in the fourth quarter there. And also, we had expansion work on the rail network during the summer, which meant that we didn't rail as much concentrate down to Port Cartier as we would have liked to. So but those -- it just means that those shipments will be pushed out into the fourth quarter so we're quite confident that we'll meet our -- the 10% year-on-year increase.
Jeffrey R. Largey - Macquarie Research: Okay, so what that means is that in the fourth quarter, in Liberia you're running at kind of your 4 million tons of annualized shipments and what would the number be necessarily for QCM?
Peter G. J. Kukielski: It would be -- just get give me a second. . .
Aditya Mittal: I think, roughly it's about $16 million for external shipments in Q4.
Peter G. J. Kukielski: Correct.
Daniel Fairclough: We will take the next question from Cedar at Bank of America.
Cedar Barnes - BofA Merrill Lynch, Research Division: Just a quick question on the Asset Optimization Plan. Where are we in terms of the $1 billion annual saving target with the closure of Liege and Florange? And just following up, can you just remind us what the process is going to be on the hot end with the government looking to potentially sell that to someone? Are you still required to run it and bear the costs in the interim? What are the time frames, just to remind us?
Aditya Mittal: Okay, Cedar, the saving is $1 billion, and we expect -- we had announced, almost, not exactly 12 months ago, I guess, what, 14 months ago, that we should achieve that by the year end 2013 -- 2012. At that -- this point in time, we have not provided you an estimate as to where we are, we will do still at the year-end results. We are making good progress on that. Maybe there's a quarter delay in achieving the full amount of savings. But we should be close to achieving a significant majority of those savings by year end. So in terms of process, I will talk to you perhaps about the 2 major ones. The first one being Liege and then I'll address your questions on Florange. In terms of Liege, we have an agreement to close the hot ends [ph] so the hot end [ph] is closed. We're now in discussions with the unions to finalize the exit of all of the employees associated with that primary end, that should get done in the first week or second week of November. And when that is done, we should report the savings. In terms of Florange, the processes that we have provided the government with 60 days to find a buyer. They have until the end of November to come back to us with a buyer. From that date, we're not supposed to be bearing any costs associated with that prime facility, and the new buyer's supposed to be bearing those costs. We have no obligation to purchase any steel or coke or any such product from a new buyer, if a new buyer does arrive at the scene. Assuming that there is no buyer, then the process would begin in Florange, and once that process is complete, the cost of that primary would come out.
Cedar Barnes - BofA Merrill Lynch, Research Division: Okay, and how long does it usually take when you enter a sort of a closure process, in terms of agreeing with unions, restructuring? Laying everyone off?
Aditya Mittal: Yes. So in Florange, the process has started a month ago, roughly. And normally these processes can take from the start date, a month ago, just to 8 months. Assuming that it runs smoothly.
Daniel Fairclough: Okay, we'll take the next question from Carsten Riek at UBS, hopefully.
Carsten Riek - UBS Investment Bank, Research Division: Two questions from my side. First one, there was quite a bit of inventory build up in my view in FCE, AACIS and the Mining business, so it's a little bit of deja vu from last year, even though the conditions were similar. Why have we seen, especially in FCE, such a big build up in inventories, in my opinion, might be in the range of $300 million to $400 million? Did you expect some kind of huge pickup in demand? And it's -- is that the reason why you actually build it? That's the first one, the second one is on the iron ore prices. Because a big drop in mining was predominantly because of prices, even though we have the -- seen the iron ore prices actually down only from, or massively down from end of June -- mid-end of June until August. So it should have been in your balance sheet a little later, in the P&L a little later, than we have seen this. What caused actually the quick realization of lowest iron ore prices?
Aditya Mittal: In terms of inventory, first, I think Peter went through the build up in terms of mining division. I don't know if you heard them, but we had issues with the rail -- we're doing our rail expansion, and so we had more stock at Port Cartier. In Liberia we were impacted by the monsoons so [indiscernible] there. In terms of FCE, clearly the increase in inventory has to do with the fact that the slowdown in the third quarter was larger than what we had anticipated. And so there's been a drop at FCE in terms of shipments of about 13% to 14%, which is very significant, if you consider that second quarter was already weak. We're seeing a European apparent steel consumption, which on an annual basis would be 9%. The numbers are more significant than what we would've forecasted. The good thing is that a lot of this is unfinished good side. It's not on the raw material side. On the raw material side we have been relatively prudent in building up inventory stocks. So there's not a cost burden going forward at FCE, which is significant of higher cost raw material. Gonzalo can expand on the AACIS buildup of inventory.
Gonzalo Pedro Urquijo Fernandez de Araoz: We had gone down in Q2 in some markets very much. So we did do a rebuild of stock in Kazakhstan and amongst others, and then also due to the market we didn't go on to force markets. And it was basically Kazakhstan and that's why we rebuilt some of the inventory.
Aditya Mittal: And very quickly at FCE, as the first batch was online at Tubarao, the delayed ramp up, as we lost shipments, we had greater levels of raw material staying in Brazil and that's one of the reasons why inventory went down. And I think, overall your question on inventory is very valid, and that is why [indiscernible] and we will have a reversal of inventory in Q4 as the production level at FCE lowers so we will bring down the level of inventory there. Peter walked through what is happening in the mining side and same at SCA and the CIS. In terms of your second question, on pricing, if you think you can elaborate on the mining side, Peter?
Peter G. J. Kukielski: Yes, so as Aditya already mentioned, the negative impact of pricing in the third quarter was $115 million, the balance of the variance between Q2 and Q3 was about $150 million. The balance was volume-related for the reasons that I described with respect to shipping.
Carsten Riek - UBS Investment Bank, Research Division: Yes, but the pricing, at least in my opinion, kicked in quite early, the lower pricing. I thought there would be a bigger lag effect. I read a similar kind of thing we see with Vale or Rio in the iron ore, but it looks like that some of the contracts were, at least it looks like renegotiated early.
Peter G. J. Kukielski: We have obviously the contractor dynamic. I mean now, and by and large, we have a -- we're not following a lag methodology any longer, although we have some lags. And so if you look at -- if you take $115 million that's spread over our marketable production for the quarter, you will see that we actually did quite well, relative to the markets.
Daniel Fairclough: Okay, we'll take the next question from Alessandro Abate at JP Morgan.
Alessandro Abate - JP Morgan Chase & Co, Research Division: Just one question, related always on the reduction level on net debt. Considering that you are moving towards the right direction in terms of steps, even though not within 2012, but for 2013 with potentially lower CapEx and a reduction level on net debt. When you're talking about the status of your plan of asset disposal, is this plan shared realtime with Moody's, considering that's a little bit extra time could actually lead towards a higher perseveration on the value of your assets? Could that imply a potential extension of the deadline that you have for the reduction of net debt?
Aditya Mittal: Yes. As you know, we are in dialogue with the rating agency. I think the discussions that we have with them are confidential on both sides. And I think earlier, perhaps, you were on the call or not, I'm not sure, but we had gone through our thought process and what we're trying to do in terms of deleveraging, as well as the importance of a rate -- investment grade credit rating, as well as our thoughts on the asset divestment or disposal program.
Daniel Fairclough: Okay, we'll take the next question from Carly Mattson at Goldman Sachs.
Carly Mattson - Goldman Sachs Group Inc., Research Division: In a scenario where Arcelor were to fall to high yield, would the focus on reducing net debt turn more to reducing through organic cash flow rather than asset sales or other measures? And in this case, would this mean that the company could book to refinance the 2013 maturities in public debt markets?
Aditya Mittal: I'm not sure what your question is. Is your question whether we can finance the 2013 maturities?
Carly Mattson - Goldman Sachs Group Inc., Research Division: My question is, would Arcelor -- would the focus on debt reduction slow, if investment grade ratings was longer a question, if the company had already fallen to high-yield? And in this kind of scenario, with credit relatively cheap right now, would it make sense to term out the 2013 maturities?
Aditya Mittal: Okay. So as you know, we lost an investment grade credit rating from S&P in July [ph], but our focus on maintaining an investment grade rating has not changed. And so we would remain focused on deleveraging the balance sheet appropriately, which is our focus today, and we would take actions that we can as a management, which is in the interest of all stakeholders to achieve that priority. But in terms of next year's maturities and where we are, as you may have seen, we have good credibility. Cash in excess of $2 billion, and therefore we should be able to meet those maturities easily. Whether we access the capital markets or not next year, I think at this point in time, it may not be appropriate for me to comment on.
Carly Mattson - Goldman Sachs Group Inc., Research Division: Okay. And then as a follow-up question, have you had conversations with Moody's and Fitch regarding their willingness to potentially extend the time frame over which the company could reachieve the gross debt reduction targets that they've thrown out?
Aditya Mittal: Again, as we had said earlier, the discussions we're having with the rating agencies remain confidential and they do issue their thoughts on a periodic basis, and you're free to review that when they issue it at a [indiscernible].
Daniel Fairclough: We'll take the next question from Neil Sampat at Nomura.
Neil Sampat - Nomura Securities Co. Ltd., Research Division: I've just got 3 questions. Firstly, could we -- on Baffinland, are we still expecting a feasibility study by the year end? I think that was the original timeline you gave, not sure if that's -- that remains the case. Secondly, Mittal's still -- I mean, you guys are still being mentioned in the press as being involved in a tiff, and Steel America's process. Clearly the shooting priority for the group's on deleveraging. But could you clarify your role in the process? And thirdly, could you give some sense of how negotiations are proceeding for asset sales, in light of the weakened earnings outlook that's emerged in recent months and the implicit increase in balance sheet pressure for the group? Have you, for example, found bidders potentially more aggressive in terms of their negotiations? And the reason I ask is because clearly asset sales are now your preferred method for deleveraging, which is fine, but I guess the price you get for the asset's are also important. So could you give us a sense, and I know it's -- I appreciate it's very difficult, but could you give some sense to how far we are away from levels where other options to reduce net debt are potentially better than asset sales from a longer-term shareholder value perspective?
Aditya Mittal: Okay. Maybe I start with -- I think the Americas. I think we have made comments on that already. I don't think there's much more to add. Regarding Baffinland, maybe Louis has something to say on Tiki [ph] Americas.
Louis L. Schorsch: I think we -- we're clearly players in the U.S. market, leading players. And I think as anybody that's active in that market, if you have a responsibility to look at an assessment, [indiscernible] but I think, look beyond that. It's probably inappropriate for us to comment.
Peter G. J. Kukielski: With respect to Baffinland, yes, we remain on track for what we committed to and completion of feasibility review by the end of the year. But at the same time, a ruling by the responsible minister on the recommendations of the impact continue to impact the board is we've -- it's forthcoming very, very shortly. So as soon as we receive that ruling, then we obviously need to take a look at the requirements underpinning the ruling, and what that means to the project and then we would make a decision on how to go forward. But we remain very committed to the project.
Aditya Mittal: Okay. In terms of asset sales, I think we have demonstrated that as we have sold these various assets, we have created a lot of value for ArcelorMittal. Actually, in most of the asset sales we have recorded book value gains. So we continue to be confident in our plan on continuing our divestment process and achieving the right balance for our stakeholders in terms of finding the right value for those assets [indiscernible].
Unknown Executive: Okay, we'll take the next question from Alex Hauenstein of MainFirst Bank.
Alexander Hauenstein - MainFirst Bank AG, Research Division: I have a couple of questions. First of all, what you see in terms of order intake in October for Flat steel Europe and Flat steel Americas? Second question, also related to the steel parts, what's your view on European pricing here, and when do you expect some restocking again, at least to some extent, if any? And the next question, on the mining side, do you think the Q4 mining contribution will be significantly higher quarter-on-quarter due to reviving operators and rising volumes? Or will there still be mature negative spillover effects from lower Q3 prices?
Louis L. Schorsch: Let me -- Alex, let me just touch on the mining side. I think that Q4, certainly the volumes will be higher. So if the volumes are higher, our shipment volumes are higher, then we'd obviously have higher earnings. But right now we, I imagine that the earnings will be, certainly be marginally higher.
Alexander Hauenstein - MainFirst Bank AG, Research Division: The negative price effect will still have some effect or is that more or less directly -- or has that been directly gone through the P&L in Q3 only?
Louis L. Schorsch: We expect the price to remain flat.
Peter G. J. Kukielski: On the order intake issue in the Americas, I think if you're asking primarily about North America, which is probably more relevant to the case, I think, although there were some recent announced price increases, I think they were quite widespread, triggered by increases in the crisis in China. I think as Mr. Mittal described, thereby kind of closing the premium gap, if you will, between North American prices and Chinese prices. I think those are still playing out. We certainly expect those to eventually lead to an increase in order as people try to get ahead of potentially increasing prices, but we're still in a period where there are short lead times available for some of the participants in the marketplace and I think people are still waiting to see just how those prices -- those price increases play out. But so what we -- we're not seeing a big change in the order intake, currently. But I think that, that would be the normal pattern as we see those price increases take effect.
Michel Alphonse Léon Wurth: In terms of the European Flat perspective, there's no noticeable change in the order intake, either. I think customers remain in a wait-and-see mode. We have seen the inventories come down in Europe and therefore, if there is a change in sentiment, it could be a rebound and a restocking that would occur. In terms of the price environment as the U.S. price increase was announced in Europe, no price increase has been announced.
Daniel Fairclough: Okay, the next question we'll take is from Tim Cahill at Davy, please.
Tim Cahill - Davy, Research Division: My first question is in relation to the guidance. I just wanted to confirm with the $7 billion number that is essentially related to reported EBITDA, so it's implying the Q4 guidance would be around $1.2 billion, $1.3 billion of EBITDA, something like that. And then my second question is in relation to actual steel prices. Obviously, looking at, specifically the spot price but also here, the steel price in Europe and the U.S. over the last couple of quarters, things have obviously been quite weak. So I was just wondering, given the inventory comments that you've made, what you think the chance of a price increase being announced and implemented in the U.S. or Europe before year end was?
Aditya Mittal: I think some of it, we covered in the earlier question, but I'll get Lou to comment again on SCA. In terms of your first question on -- of EBITDA, it's on a reported basis of $7 billion.
Louis L. Schorsch: Yes, I think we just commented on the U.S. environment. I think the message was that the recent announcements, which we do expect to take hold, are still quite fresh. And I think it's difficult to determine would there be any reason for another round of price increases still in this quarter. I think the U.S. is a net importing region. So we're ultimately affected by international price levels, so a lot depends on what that gap is between the domestic price levels in the U.S. and what it costs to bring the imports in. So again it's difficult to project at this point.
Daniel Fairclough: Okay, we'll take the next question from Rose at Kepler.
Rochus Brauneiser - Kepler Capital Markets, Research Division: It's Rochus Brauneiser from Kepler. Just a few follow-ups. The one is, maybe back on the Asset Optimization Plan, I guess you had guided previously that you are planning to book some $2 billion of charges in the context of this plan, if I've done my math properly, then I guess you have so far booked about $1.1 billion or so. So taking into consideration there is probably some delay in terms of the savings you capture. What can we expect still in terms of these charges? Are they to be booked by the end of the year or is this being deferred considerably into the first half of next year? The second question is regarding your working capital management. What can we expect in term of your accrued steel output? I think there has been a little bit of overproduction due to the market environment. Does it mean, assuming that volumes will be rather flat in Q4 that your accrued output is down and can you elaborate in this context, what is the potential you see from a working capital standpoint on your payables, receivables, which have trended quite nicely in the third quarter?
Aditya Mittal: So, you're right, charges to date are about 1.0 [indiscernible], most of the other charges I -- Florange should be in Q4. And I don't expect another $1 billion, maybe the charges that we have outlined are slightly lower than previously guided to work. But that's where we are on a global basis on that issue. In terms of working capital, you're right, accrued production will be down in Q4 versus Q3, and we should a do marginally better or similar levels in terms of days for APNAR, there's not going to be a significant change. The main difference will be a reduction in inventory for all the reasons discussed earlier, i.e., mining, AACIS, SCA as well as FCE.
Jeffrey R. Largey - Macquarie Research: Okay. Then maybe a follow-up on the iron ore effects. When I look at the bridge for your EBITDA, it looks to me, on the pricing effects on the mining -- iron ore side, that this has just described half of the average price decline. Is this a fair assumption that you have a similar decline in profitability in the fourth quarter on that side?
Peter G. J. Kukielski: I think that the onset that we gave earlier was that you can expect a marginal increase in profitability in the fourth quarter because of increased volume.
Aditya Mittal: So we're not seeing -- and just to supplement what Peter just said, we're not seeing further erosion in prices in Q4 in the mining side. And therefore, the brunt of the price fall is captured in Q3. And Q4, the average pricing is flat versus Q3. There's also some cost saving that has occurred in Q3 and as Peter alluded to earlier, we may have done slightly better in terms of our mix on prices and spot sales to mitigate some of that. So we're not seeing any negative impact off that issue in Q4.
Daniel Fairclough: Okay, we'll move to the next question from Charles [indiscernible].
Unknown Analyst: Yes, my question refers to the $72 million that you charged off for the U.S. labor contract. U.S. Steel yesterday gave $35 million, but their cost of the labor contract, at least the upfront payment, yet they have more employees than you have. What's the difference?
Aditya Mittal: So we have a very similar contract to U.S. Steel. So there's no competitive difference between the contract that we have and the contract that U.S. Steel has, from our understanding of the situation. I would also add that, Chuck, as you know, U.S. Steel operates under U.S. GAAP, and we under -- we operate under IFRS. And there's a difference in accounting treatment. Some of the costs in U.S. GAAP can be amortized over the life of the contract. And we have to recognize these costs upfront. In terms of our cost of the signing bonus in Q3, out of the $72 million, signing bonus is $30 million. And I think you said U.S. Steel is $35 million. So I hope that fits exactly to the lower number of employees that we have.
Unknown Analyst: Okay, and second question involves QCM. The trade press has been talking about you offering either a partial of or even more of the property as a sale. How does that tie in with the expiration over the next couple of years of your contracts with Cliffs?
Aditya Mittal: I didn't understand the question, tie up with Cliffs? Could you repeat that? We. . .
Unknown Analyst: Yes. The trade press has you selling either a part or more of QCM. But your contract with Cliffs expires over the next couple of years. Would you not need the additional iron ore to offset the loss of the Cliffs ore?
Aditya Mittal: We, I mean, we are not commenting on this market speculation. I just want to highlight how we operate in North America for a clearer picture of what's going on in terms of macro ore strategy. It seems to be today 15 million tons, we intend to grow it to 24 million tons. A small portion of that is going into Dofasco. The rest of that is actually being exported either to Europe or into the Chinese market, some into Japan as well, maybe a small portion to the Middle East as well. In North America, within North America, we do source ore from Cliffs, and that contract has expired and when the contract expires, we will find an appropriate solution for that. I would not necessarily link the 2 issues.
Daniel Fairclough: Okay, we've got time for 2 more questions. So we'll take the first one from Tom at ROT Group [ph].
Unknown Analyst: Back when we visited QCM in June, I believe the guidance was that 90% of the CapEx for the expansion would be committed or spent by the end of the year. Is that still the case? Just trying to get an idea of the CapEx flexibility that you have in 2013?
Peter G. J. Kukielski: I think the word committed is probably the most accurate word to use. And we expect the progress certainly won't be at 90% yet, but we are on track to complete that in the first quarter or so of 2013.
Aditya Mittal: And Peter, it's also right to say as you just highlighted, that cash out of will be less than 10% in terms of the project after year end.
Peter G. J. Kukielski: Approximately, that.
Aditya Mittal: Yes, committed in cash. But in terms of work, clearly the work will continue on and we expect to complete the ramp up in the first half of 2013.
Daniel Fairclough: Okay, so we'll take the final question from Andy Mahinta [ph] .
Unknown Analyst: I just have 2 questions. Can you give us a sense of what cost -- what would have increased in funding costs if you were to go to your banks and renegotiate your covenants, so ask them to relax the covenants? There have been questions before like [indiscernible] wouldn't have done it, and they have talked about, sort of $150 million to $200 million annualized, in particular, some sort of range? Is it that big a number, is it a smaller number? And secondly, you talked about demand as being closer to bottom of the cycle and things improving from a top down perspective in a sense leading indicators are picking up. Just looking at the 2 of your bigger markets, Europe and the U.S., from a bottom up perspective, what are the things you expect to improve over the next 3 to 6-months, like, if we look at all frozen construction, where do you see pockets of strength in the next 3 to 6 months?
Aditya Mittal: Andy [ph] , in terms of the covenant, I think you -- we are at 3.1 right now, I expect to be at the same ratio at year end. Next year, we intend to delever the balance sheet, that's a priority for this group and the management team. And as a result, I do not expect that to be an issue. In terms of in-demand markets, I think, in terms of Europe, the sentiment overall is quite weak. Risks remain in the system and in terms of Eurozone exit, I think the risk of that -- of a country exiting the Eurozone, I think the risks of that have reduced, but the risks remain. At this point in time, we are not forecasting in any particular segment, a dramatic recovery from a bottom up perspective in the short-term. In terms of North America?
Peter G. J. Kukielski: I think in North America, clearly, auto has been the, sustained -- that's the story in that market, and I think we see that continuing with the June -- we see it now, we expect that to continue into next year, reflecting some more positive consumer sentiment. I think the energy market, which is an important one for us, particularly for more the line type business in our company's case, than the drilling activity, though both are in play. That can be hot and cold, let's say it, and move up and down quickly in a short time frame, but I think certainly the fundamentals are positive for that and we see that, I think, opening up further for us in 2013, and then I think finally the construction market, which of course was the, one of the causes of the crisis to some degree and has been really quite soft for the last 4 years in North America, at least in the States, Canada's a somewhat different story, I think we do see on the residential side, a really, kind of, the first robust indications, prices coming up, apartments going up, et cetera. I think the architectural index is also over 50 now. I think that's the largest steel market in general, and if we do see -- no one sees that sort of bouncing back robustly next year, but to see that start to climb out of the hole it's been in I think is quite a positive for that matter.
Lakshmi Niwas Mittal: So this concludes our third quarter's conference call, and thank you for participating and looking forward to talk to you next year. Thank you.